Operator: Ladies and gentlemen, thank you for standing by and welcome to the Sberbank Group's Quarter One 2018 IFRS Results Call hosted by Sberbank Management Team. Live webcast is available, and you can find the link on sberbank.com. At this time, all participants are in the listen-only mode. There will be a presentation followed by a Q&A session for analysts and investors first and then a Q&A session for journalists afterwards. [Operator Instructions] I must advise you that this conference is being recorded today on May 30, 2018. I would now like to hand the conference over to Mrs. Anastasia Belyanina, Head of Investor Relations. Please go ahead.
Anastasia Belyanina: Thank you. Good afternoon everybody. Thanks for being with us for this call, we are presenting our first quarter 2018 results. We have with us our traditional speakers, so we have Alexander Morozov; our CFO, we have Alexey Bogatov, who is Senior Managing Director, Head of Integrated Risk Management, and also today, we have our Chief Operating Officer and First Deputy CEO, Lev Khasis, who will give you more color on our recent developments in some specific areas. As always, this presentation will be followed by Q&A session, and we welcome your questions very much. Thanks for this, and I open the floor for Alexander Morozov.
Alexander Morozov : Good afternoon, or good time of the day, everybody, and thanks very much for joining us. Let’s start with a short summary of our results and that summary will be followed by some statements, which will be given by Lev Khasis and Risk Management. First of all, I’d like to address our financial results. In the first quarter of the year, Bank earned net profit of RUB212 billion, which is about 27% higher than first quarter year 2017. And it response to return on equity of approximately 24.2 percentage points and above 3.1% return on assets. The earnings per share increased by 26.3% to RUB9.84. Net interest income grew by 6.5% year-on-year to RUB358.6 billion and the growth was assured by retail lending a plus 3.5% year-to-date and here I’d like to mention just for mortgages 4.8% and consumer loans 3.6% and it was supported by market sentiment. Here I’d like to say that during the first quarter we reached a historical record amount of mortgages ever. We issued more than RUB320 billion of mortgages. That’s all times record for us and for the market as well. Very important that our digital housing ecosystem DomClick generates already quarter of our mortgage loan applications and even more than that 33% in Moscow and more than 15%, 16% in regions. What’s also important that consumer loans offering not only loan applications now, but the whole offering the whole process has become fully automated on our Sberbank online platform. And the share of digital loan now amounts to deferred of total disbursement of this product and continue to grow up quite substantially and steadily. So that’s a process and will be continued definitely. All these helped us not only to cross remarkable RUB5 trillion, I’d like to repeat it again, RUB5 trillion threshold in retail loan book in Russia, but also to start to substantially improve our process on that business, to reduce associated costs to first increase our risk management strength and to increase [ph] efficiency. It’s not an end, so it’s just the beginning of a very substantial process and that’s the beginning of the long journey on that way. Corporate loan book, corporate loan book showed some positive dynamic in the first quarter, and to not very substantial but now is less positive plus 0.1 percentage point, but decline to a sluggish number, what is important to understand was Ruble denominated corporate portfolio was growing plus 1.5% and the sluggish dynamic was is explaining primarily by substantial reduction of the demand for foreign exchange denominated loss, which went down by 3 percentage points. Very important point is get to net interest margin. Net interest margin decreased by 50 basis points in the first quarter. If you compare it to the fourth quarter. But same time, it's very healthy. And so if you compare it with the margin in the first quarter 2017, we have good dynamic. And I'd like to remind you that seasonally first quarter always year-after-year, we have the lowest margin across the whole year unless something clearly terrible and that happens on the market like in the turmoil. So I would say consider it as a seasonal effect. Same time going forward we anticipate more resilient net interest margin trajectory due to number of factors. First of all, the pricing of corporate and retail book has slowed down since beginning of the year. Secondly, it's matter of fact that Central Bank of Russia forwarded security rate reduction despite the fact that we keep unchanged our full year -- end of year forecast is to get to key Central Bank rate, which we expected to level 6.75. We believe that the trajectory to that target will be slightly different and should not expect immediate and radical change to the key rate by Russian Central Bank immediately. And most important, last but not least. Cost of funds we will continue to reprice downward due to a lot of high yielding retail deposits from previous periods. So they are gaining substitution by both offering lower rates on the one hand and at the same time our focus on high yielding retail portfolio, which generates more now sustainable and great margin on the other definitely will allow us to deliver our promises and on balance. As of now, I see no single reason why we should change our full year forecast with regard to net interest margin. And so we keep it unchanged. I'm again like to underline again that first quarter we should compare with the first quarter of the year 2017 and look at the dynamic taking into account seasonality, it's very, very much important because fourth quarter is our always a little bit affected by the additional factors, which was only in the fourth quarter like recognition of some fees and commissions as part of interest income. And I would be very worry to extrapolate net interest margin dynamic what we showed in the first quarter for the full year. I will be more than happy to address some more specific questions with regard to net interest margin in the Q&A part of our conference call. But now, I'd like to go further and address the next topic, which is net fee and commission income. I'd like to remind you that just a year ago when we had a similar conference call when we presented our results for first quarter 2017 we showed completely different dynamic that time that was our promise to focus our management priority, attention and change the dynamic with regard to sluggish numbers show at the time on the fees and commission business. And now I'm proud to say that since that time we improved a lot and third quarter 2018 we showed some fees and commission income very substantially. I would like to say even nearly record results for the Bank grow by more than 20%. To be precise to reach 1.4% year-on-year. The main growth driver was a net income from operations is bank cards, which increased by 33% year-on-year. And strong growth here was also shown in fees from client operations with foreign currencies, which is another topic where we historically underperformed in the resources in market, but now again it's good to mentioned that on foreign exchange operations we substantially increased our income from custom operations. So RUB10 billion in a quarter, which represents more than 50% year-on-year basis, that's really something. Again like in the couple of previous points, that’s not an end that’s not our ultimate target, we have much great ambitions, but that’s just a step into right direction and we’ll continue that way. Some operational data which gives more color on the profit and loss line, which we decided to disclose today at this conference call. Reached the level of 1 million active corporate clients, merchants in our acquiring business. Once again 1 million active corporate clients merchants in acquiring business that's really something. Second point, Sberbank share in internet acquiring for the first time in the history increased to 31.3%. I would like to remind you with just a year ago, we had that market share to a level less than 24%. So in less than one year we increased by 7 percentage points. Number of active retail users of channels reached 58.7 million customers, active customers which is quite substantial achievement just as a number, but at the same time number of active Sberbank online mobile application grew by 10 percentage point to 35.9 million nearly 40 million customers use our mobile application. And 58.7 million overall digital channel active customers, that's a new record for us. 77% of full payments of retail customers are executed for self-service channels in the circles. That’s created very good ground for sales increase of efficiency and creates grounds for cost reduction associated with those operations. So we are on the way of realization for promises in our strategy. Total number of our active corporate customers using our mobile applications and eastern channels increased also substantially. And say overall I would like to say that our active corporate clients increased by 4.5% to almost 2.2 million and out of this number 77% are using our digital platform for all their day-to-day operations. So 77% out of 2.2 million overall customer base of corporate customers. What's also important that 25% of the registered business in the first quarter in Russia open the accounts, bank accounts in Sberbank. So our market share in new business is 25% and continue to increase. And couple of details about our financial non-banking activities. Our market share in life insurance increased to 32%. That’s a growth roughly by 2 percentage points versus December last year. Sberbank's market share in mandatory pension insurance increased to 22% used to be 19.3% in the fourth quarter of last year. So just within one quarter we increased by 3 percentage point and we are going to continue. And finally, I would like to address topics related to OpEx. Operation expense increased in the first quarter by 7 percentage points, but what is important to understand is that it was driven by mostly calendarization effect, and that's temporary. This calendarization effect relates lease to employee compensation variable components and integration of staff related cost which took place in the second half of year 2017. If we exclude this calendarization effect and some minor changes [ph] and look at full year on to our forecast, as of now I have again no reason, no arguments, not going to change our full year forecast. I'd like to remind you that we promised to be within inflation. And I'm pretty sure that we will deliver this promised. Cost-to-income ratio decreased substantially versus first quarter 2017, down by 110 basis points to 33.6% that’s new record for us. And our promise to deliver 30% cost-to-income ratio at the end of our strategy realization within three years definitely in place. So we are approaching the target as fast as we can. So I think we are on the right track and again please consider 7% growth OpEx in the first quarter as a seasonal effect related to calendarization of some of our expenses and some minor change methodology of working on some expenses versus year-on-year basis. Cost of risk, cost of risk for first quarter 2018 came in at 105 basis points versus 147 basis points a year ago. And it includes 114 basis points of corporate site and retail cost of risk 85. Please note that the Group started reporting financial results in according to IFRS-9 standards and full effect from transition to the new standard as well as small color with regard to cost of risk and our quality of portfolio will be lately presented by Alexander Vedyakhin, who has just joined our conference call and he is now in the room. So he will present more colors on risk management later on during our conference call. Capital adequacy. Capital adequacy ratios under Basel III result in the first quarter 2018 in Tier 1 capital of 12.2%. 12.2% quite substantial improvement. And total capital of 12.7%, that was driven primarily by accumulated profit, but at the same time, I have to say that we seriously started to look at say our risk weighted asset density and say we started the process of risk weighted asset optimization process being in line with all the requirements and guidance given by all sorts of regulators. But same time we believe we have -- we might do quite a lot of material. As a first step, as a first just achievement our risk weighted asset ratio decreased from the total assets decreased from 108.5% to 104.8% that's practically minus 4 percentage points. And that was quite important for substantial improvement of our low capital adequacy ratio Tier 1. And for the first time, we started to publish, to disclose our leverage ratio. And we stood at 11.9% at the end of March. 11.9%, so very healthy level. And starting from now we will publish on the quarterly basis and I believe we again on the right track with regard to the information of our capital and achievement our target with regard to capital adequacy ratio stipulate in our strategy. Now I go to the guidance page. I'd like to start with the market. Few words about market outlook for year 2018. We slightly adjusted our market assumptions, given the first quarter dynamics of consumer prices, we now expect that inflation for the full year to be slightly lower than initially we expected. So we will be at the level 3.8 instead of 4 percentage points. We also just slightly decreased our forecast for GDP growth. Again based on our first quarter estimate, we actually expect equity to or start preliminary calculations to be at 1.3%. We adjusted our full year forecast from 2 percentage points to 1.9%. But nevertheless it’s minor changes and we keeps right to return back towards assumptions later on during the year. So we still expect that Central Bank key rates as I earlier mentioned to be at a level 6.75 for the year and as a dynamic with regard to the reduction of the rate will be slightly different action rate reductions by Sberbank Bank will support us. And we raised our expectations with regard to loan growth this year, assuming that banking sector will grow a little bit fast in corporate lending, from 5% to 8% our previous forecast to 7% to 9% that’s our actual forecast. And substantially fast on retail lending. Initially, we forecasted 10% to 12% range, now we amended to high teens level. Sberbank confirm its intention in terms of loan growth dynamic, we will stay in line with the sector on corporate side we will be within the range of the growth 7% to 9% and on retail part we might be even -- we might show higher growth especially on mortgage and consumer finance and credit card. In addition we slightly amended our guidance on cost of risk. It’s a small amendment, but beside the small amendment you should understand that it’s not typical for Sberbank you now ask for quite long period of time we to amend any of our substantial part of our full year guidance for results for the first quarter. And in our minor amendment means or should mean quite a lot also for our story. So now this minor amendment which we publish now that's managed in our guidance for cost of risk from around 130 basis points to below 130 basis points. As of now that’s all we want to say, but we promise to return back to that point as well as our core guidance for the year, at the time we present our half year results in second half of August. Other lines of our guidance remain unchanged, which means that we believe that we will be able and to deliver in full all our promises related to our returns, no matter what happens with our holdings and transaction by the way to Turkey should not affect and will not affect our full year guidance formulated at December last year, when we presented our guidance in London. I’ll address in more detail the topic on the Q&A session, but I think is very much important that all the effects are already within our guidance. And couple of words about Russian market environment. Despite the fact that GDP growth in the first quarter was a little bit slower than we might expect we see some promising dynamics of several indicators. While industrial transaction increased by 1.9% in first quarter investments plus 3.6% and to your wages plus 10 percentage points, 10.2 to be precise. Having said that, I’d like to pass the floor to Lev Khasis who will say a few words about our ecosystem development. And afterwards in Q&A session I’ll try to address in more details some more specific topics related to mentioned above key financial results and achievements of first quarter. Lev, floor is yours.
Lev Khasis: Thank you, Alexander, and good afternoon, everybody. Let me start with our ecosystem development. I’d like to say a few words about our recently announced JV between Sberbank and Yandex. As you know we closed the deal on April 27th, about a months ago and we intent to combine the technological capabilities of Yandex and infrastructure technologies of Sberbank as well as our combined customer base to develop the leading e-commerce ecosystem. The partnership opens up new opportunities for Russian manufacturers, e-commerce players, small and medium businesses. And look opportunities for Russian experts abroad and creates a new channel for international participants on the market. We have had successful cooperation with Yandex in other areas before. Let me remind you about our very successful JV in the area of financial services called Yandex Money. And we're excited to expand our partnership enter this new strategic jurisdiction as the e-commerce ecosystem is completely within the framework of our strategy 2020 goals. As we announced Sberbank invested RUB30 billion in Yandex market capital for a 45% stake in the JV. As you know Yandex invested its existing Yandex market platform and business into JV. The share of Yandex in the JV is also 45% same as Sberbank. 10% is allocated to the management equity incentive program fund. The program is designed in a way to align interest of shareholders and management and is based on upside distribution of the deference between the post money value of RUB60 billion and the future valuation at the time of vesting. That is why they post money economic value of Sberbank share in Yandex market is RUB30 billion. The JV Board of Directors is comprised of seven members including two independent, two board members representing Sberbank and two board members representing Yandex. We plan to develop three e-commerce platform under the corporate umbrella of Yandex market. The cost will be the creation of an online domestic marketplace that offers consumers a wide range of products and provides measures [ph] with leading order processing logistics and deliver services. The platform was recently launched beta testing and we’re planning to launch a full scale industrial version in the fall. The second area will involve developing a cross boarder e-commerce platform that we plan to launch by the end of the year. And the third the company will also continue to enhance the existing Yandex market service as a price comparison and product search engine. In the next three years or maybe next four years the company plan to increase the total gross JV from about RUB140 billion last year to over about RUB500 billion. Our goal is to fight for the position of being the largest e-commerce company in Russia like let’s say Russian Amazon. Our target to grow our market share revenues and loyal client base not targeting net profit as a key performance indicator over the next three to four years. Logistics is one of the key components of our success, where considering opportunities to corporate with the expanding universe of logistic operators,, which keep entering the market incentivized by e-commerce growth prospects, as well as develop our own logistics capabilities. A few other pieces of news about our recent ecosystem initiatives include the launch of Sberbank Cloud business and our investments in Dialog messenger, which we believe both are very promising. Let me say a few words about technologies. We have started the next phase of the transformation of our technology division. This phase aims to merge teams of our product managers and business leads with front end IT developers. This should result in efficiency increase and reduce time to market. Win you additional focus is the technology area -- additional focus in the technology area is effort of various practical implementation of artificial intelligence based solutions. On a separate note, I’d like to give you a bit of color on our recently announced intention to exit the Turkish market. Let me briefly remind you of the deal timeline, which includes three main dates. On November 30th of previous year 2017, Sberbank signed the term sheet to serve our full stake in DenizBank about 99.85% to Emirates National bank of Dubai. On May 21st, this year the parties signed the SBA. Closing is expected to take place before the end of 2019 and is subject to approvals from the banking and anti-trust regulators of several relevant countries. Talking about price consideration, I can share with you the following things. The total price is a sum of the base price in the amount of 14.6 billion Turkish liras and the interest payment accrued on the base price for the period between signing and closing. So far, we haven’t disclosed the parameters of the interest rate, but I’d like to mention that it will materially impact the final price in a positive way. The deal price should remain within a range of $3.4 billion to $3.7 billion, as the exchange rate was fixed in a narrow range under the agreement with the buyer. Our base price is determined on the log box concept, using the date of 31st of October 2017 and implies 1.17 multiple to DenizBank’s equity of 12.5 billion Turkish liras. This concept is being used in order to secure the price certainty for us and reduce any external risks. Sberbank’s total investment in DenizBank is about RUB148 billion, including the purchase price and following equity injections. At deal closing Sberbank will receive according to our expectation at least RUB200 billion or more subject to FX rates and timing. Why we decided to sell, a few reasons. Sberbank’s strategy has changed, we are reducing our international exposure to focus more on domestic value accretive opportunities, which fit in our ecosystem concept discussed in our strategy 2020. The geopolitical tensions have affected the way how Sberbank can develop our foreign subsidiaries. And definitely it was a very good opportunity to sell the deal price compared favorably to the market relative with from 50% to 70% premium to market average multiples for publicly traded Turkish banks, which now in range of 0.4, 0.9 of price to book value. And on this note, let me pass the floor back to Alexander Morozov, to comment on the financial impact of the transaction and Alexander the floor is yours now again.
Alexander Morozov: Thank you, Lev. Couple of thoughts about financial impact, which will defined Russian standard into IFRS and still depends on ruble-dollar exchange rates and timing of the deal closing. I’d like to underline once again, will depend on ruble-dollar exchange rate and timing of the deal closing. Because it’s important because foreign exchange risk against Turkish lira is hedged. On the Russian accounting standards, the deal is going to be profitable and as agreed sell price on Russian rubles exceeds acquisition price quite substantially, which will lead to some tax payments now that we are on the Russian standards and which we should keep in mind. What is important we will increase substantially common equity Tier 1 capital ratio by no less than 70 basis points. And final result will depend on foreign exchange rate and so one, but nevertheless anyway, it will be quite substantial implication positive implication for Russian standards banks under law. Under IFRS accounting, the impact will be more sluggish maybe slightly negative due to tax consequences. Because as the deal related taxes are calculated on Russian standard basis where we are going to book quite substantial profit. And second reason recycling of accumulated negative foreign exchange translation resource through profit and loss. At the same time, what's important to mention first resimplification will be not substantial. And in terms of core equity Tier 1 we are going to increase core equity Tier 1 by no less than 100 basis points due to risk weighed assets released and potentially is higher. As a result of the deal we wrote down already now RUB7.1 billion of intangible assets and goodwill related to DenizBank we complete in the first quarter is already reflected. And starting from the second quarter DenizBank will be counted as assets for sale in our financial statements. Disposal of DenizBank is expected to be completed by year-end 2018 no later on. And we will do our best to minimize this negative consequences on this year's group financial results. At this point we do not see a need to modify 12 months somehow our outlook for this year on the back of this transaction. Long-term we expect this transaction will be ROE accretive for us. And finally, I'd like to stress attention what we are going to deliver our promises. In all the assets for our promises, and this transaction will allow us to focus more our efforts, more capital, more resources and more time management on buildup of our ecosystem and delivery of our promises which of our strategy announced in London. Money wise, it will be accretive, but that’s just one side of the transaction. Priorities, that's also very important for us. And finally I invite our Chief Risk Officer, Alexander Vedyakhin he is on the call to join us. And to disclose summary of IFRS-9 impact on our Group. And after Alexander will open session of Q&A. So we will be ready to address maybe more specific topics I mentioned items. Thanks. Alexander please.
Alexander Vedyakhin: Yes. Thank you very much. Good afternoon ladies and gentlemen. Actually starting from the beginning of this year, we have adopted IFRS-9 standard that replaces IFRS-39. And IFRS-9 implies forward-looking expected for this loss approach instead of previously existent in periods loss approach. About capital, probably the most important topic, the impact from IFRS-9 adoption on capital. At the disclosure of the report as of January 1, 2018, we announced the preliminary impact of IFRS-9 implementation and the assessed impact on the group capital was RUB90.9 billion. We updated the impact as of January 1, 2018 and now it's equal to RUB69.5 billion. So about quality overview. Portfolio quality has improved compared to the previous periods with key metrics showing gradual strengthening. Corporate loan portfolio is stable with delinquency rate lower than the banking system. Default rate stabilized at level better than long run average. Rate of portfolio quality is consistently higher than the markets. Key metrics are either stable or improving. Default rates corresponds to the mid-term average with a trend for decrease. 97% of gross loan portfolio is measured at amortized cost and over 80% of portfolio is represented by stage 1, this is really important for us. More than 78% is assigned to minimum or low credit risk level, that’s also important for us. Cost of risk as Alexander has already mentioned is 1.5% which reflects the loss trends in portfolio quality and previously we announced the 2018 forecast for cost of risk at around 1.3% and actually as Alexander has already stated now we update our forecast to below 1.3%. And the decrease of the forecast is possible gradually and will get back to the forecast review following the second quarter results. That’s all from my side, thank you very much once again.
Anastasia Belyanina: Thank you, Alexander. Thank you everybody, so we now open up the floor for your questions please.
Operator: Thank you ma’am. [Operator Instructions] Okay, our first question today comes from Neri Tollardo from Morgan Stanley. Please go ahead, your line is now open.
Neri Tollardo: Yes, thank you very much for the conference call. Two questions from my side, I understand that its first quarter and it’s early to revise your guidance across the board, but you have done it in some parameters. But the one that I am more curious about is your capital guidance, so your CET1 target, you clearly building capital quicker than expected you have DenizBank transaction which is supposed to release capital. So I am wondering what’s holding you back from increasing the capital guidance and potentially how that would translate into dividend payout for this year, can we already see 50% payout for 2018? And then the second question is on your cost to funding, if you can give us some idea of how much lower you think you can reprise your deposits and how much effective you will be able to offset some of the reprising of your loan book? Thank you.
Alexander Morozov : Thanks very much for your questions. First of all you are absolutely right it’s not in our practice to announce any forward guidance from the results of the first quarter and it’s not also the best practice to announce here capital adequacy ratio projection, when transaction is not yet settled. I’d like to remind a very good proverb first, we shouldn’t account your chickens before we have hedged, so let’s first settle transaction and when start to think what to do is proceed. As of now the best I can say with regard to our capital target we are going to address the topic when we present semi-annual results. Probability that’s a target and guidance for the full year forecast with regard to capital adequacy ratio Tier 1 will be increased is very high, but I do not want to anticipate it today, wait a little bit. And I’d like to remind you that we’re going closer to implement IRB approach. With regard to IFRS standards this year, we feel also in fact our capital adequacy ratio number of other actions, and should happen in -- prior to the date. So all together, wait a little bit we will definitely address it in August. Probability of increase of our target is high, but it’s not here at this time. At the same time, with regard to dividend and prioritization of capital -- of proceeds from transaction. As of now we have no reasons to amend our capital -- our dividend policy. So we will continue to follow our promises according to the formulated capital given the policy of Sberbank. And as I believe that where not too many assets, good quality assets investment grade which able to deliver on a sustainable basis, 20 plus return on equity. So from that perspective one of our commitment was and is today to deliver on a sustainable basis higher economic value added to our shareholders, to our investors and we are committed on that. With regard to cost of funds, now cost of funding potentially reduction of our interest payable, number of factors play here playing down. First of all that’s maturity of three years loans -- three year deposit, which were started in year 2015 at much higher rate where we are today both rubles and American dollar at a time. So potential impact out of this is comparable with in fact we had reported last year. I believe that this process of reprising will be continued, but at the same time and we will see it just in second, third quarter, but same time taking into account that speed of reduction of the key rate of Central Bank is decelerating. I think that this quality in fact out of the repricing of our liabilities will be fully aligned somewhere in third quarter. But nevertheless I expect that the net interest margin will show some positive improvement a little bit and full year guidance we gives the same as used to be at around 5.5. Having said that, keep room for us to return back to a little bit potentially revise it in a right way when we present semi-annual results in August.
Neri Tollardo: Excellent, Thank you very much.
Operator: Thank you. Our next question today comes from Olga Veselova from Bank of America. Please go ahead.
Olga Veselova : Thank you. Can I ask your plans regarding the reinvestment of funds around the sale of Deniz. How quickly do you think you can reinvest into your core business or given how much profits you have received from this deal, it may take time and you would look to combine with potentially a little bit of extra capital cushion given the higher uncertainty of external operating environment? So this is my first question. My second question is can we once again run through the deconsolidation of Deniz from your P&L not the balance sheet? From which quarter should we assume the accrual of this payment by the buyer, and from which quarter should we fully deconsolidate Deniz from your P&L? Is this the fourth quarter of this year or not? This is my second quarter. My thirds question is about the sanctioned exposures, I know it's really -- there are many moving factors and nothing is finalized there, but are you in a position to add provisions and when because clearly the credit profile of these borrowers has changed a lot since before the new year sanctions were introduced? And finally also on this question, what in your view is the likelihood that the Bank can transfer some exposures to sanctioned companies or and to military sector to other banks? Thank you.
Alexander Morozov: Okay. Let's start with the fourth last question and say my answer will be very short, we are not going to comment that topic with regard to transfer potential to some customers to any third party. With regard to the change of risk profile and provision with Alexander.
Alexander Vedyakhin: Thank you very much for the questions. Actually as of today we don't see any changes in the credit quality of clients you have mentioned. Actually we received all payments according to the schedules. And so at this moment at least as of 30th May, 2018, we don't see a necessity of additional provisions for those borrowers, but it could be changed.
Alexander Morozov: And now two first questions. So with regard to capital proceeds how we are going to use it. I heard the answer to the third question. Don't be in the hurry. First we have to start the transaction, it will take us time. We will do our best to complete with that one and to get all the necessarily approval as soon as possible, but not faster. And I do not want to start the discussion or to support the discussion what to do with liquidity or with the capital. Let's come back to the topic when transaction settled. We announced about that, and gets congratulation from your side. And only after that on nearest conference call we -- when it happens, I mean, most probably it will happen in the fourth quarter, but earliest in the third quarter, we have no chance to complete it until 1st July definitely. So only when we will be ready to support the discussion. Taking it into accounts very high level of uncertainty of the world where we live today. And now we can first now announce what to expect from tomorrow, I'd like to keep our fingers crossed to complete the transaction. But win-win transaction from all the parties including the buyer, who got the best Turkish asset, I believe and DenizBank in fact is the best asset that I'm 100% certain about that. And for us -- and let me return to that topic, one thing you can be sure that I mentioned that couple of times, we do not need excess of capital. Excess of capital means that we are enabled to deliver superior economic value on capital deployed. We need as much capital as we able to employ to deliver to our shareholders superior return on equity. And 24% return on equity posted in the first quarter I'd like to hop you can see there is a decent one level. With regard deconsolidation of Turkish assets, we start to show it in a separate line in our P&L accounts starting from our second quarter presentation. And full deconsolidation will be done when due is settled.
Olga Veselova : Thank you. Just a follow-up to the answer from Alexander Vedyakhin. I appreciate that you still do not see any changes in the way how your customer services loan and you say it could be changed. But then doesn't IFRS-9 require you to be proactive not reactive in the way how you charge provisions. And also, can you disclose to us coverage by provisions and by collateral of your exposure to the sanctioned companies. And maybe to those customers with sure with the sanctioned companies if you have that data. Thank you.
Alexander Vedyakhin: So, yes that's actually my lovely topic. Thank you for this question. We can't be specific about clients as you very well know. And also actually for sure, we have received forecast from the clients you mentioned. And in the forecast we don't see any duration of cash flow. Because of this based of IFRS 9 requirements, we don't have at least at the moment any reasons to change our expected losses means our provisions according to IFRS 9. So that's all what I can say at the moment. But I should repeat one more time, that this is actually as of today, everything could be changed. Thank you.
Olga Veselova : Thank you.
Operator: Thank you. Our next question today comes from Mikhail Shlemov from VTB Capital. Please go ahead.
Mikhail Shlemov: Good afternoon. Thank you very much for taking time to take my question. The first question I’d like to little bit exploit the topic of risk weighted asset optimization, which Alexander touched in his opening remarks. Given that currently your density has gone down to 104%, perhaps you could give us the mid-term target of risk weighted density which you have in mind, hopefully with and without the IRB effect? And if you could add up some color in terms of initiatives which you do to reduce the density optimize your balance sheet or off balance sheet structure perhaps that would be highly appreciated. And the second question is actually on IFRS 9 impact and the impact in terms of -- on the run rate cost of risk, while you have obviously hinted that the cost of risk is going to be better versus your initial estimates under that IFRS 9 net framework. Perhaps if you could confirm that there are no one-off effects in the cost of risk, which you have seen so far in the Q1. And whatever other things being equal net of FX moves or just like large corporates default that should be the run rate, which we should assume. And the third question is actually to Mr. Khasis about the JV we have done in recent plans to develop the Yandex market. If you can elaborate on -- you talked about actually bringing more logistics partners into a platform or even investing into your capabilities in the network. Perhaps you could provide the color whatever you expect any more additional investments to come on top of the RUB30 billion. And if yes, how they would be recorded whatever it would be consolidate within the entity or separately. Thank you.
Alexander Morozov: Michael, thank you very much for you talk, for the questions. I am asking Lev Khasis to answer your last question related to the ecosystem and logistics first and to ask Alexander Vedyakhin to address your first two questions. Lev please.
Lev Khasis: Thank you for the question. As you know, we closed the deal just a month ago, and in a few weeks we are going to hit our first Supervisory Board of Yandex Market Meeting. And within this meeting we are going to talk about the approval of the company’s strategy in different areas including logistics. And after we approve it, maybe we will be able to share some more details about it. But in general, as I said at the moment there are lot of players in the logistics area in the country, Post of Russia is evolving in positive way as well as a state-owned company, Post of Russia definitely will provide to Russian based players more favorable conditions and we very much rely on cooperation with them. But also we recently hired in the Yandex market, a few very experienced top managers from the leading equipments, international equipments companies. So we believe that this will be a combination of both cooperation with local and international logistics operators and as well we will invest I can’t share right now how much and when, but we will invest in developing of our own capabilities. I hope my answer helps a little bit and now let me thank to all of you for the opportunity to share with you my thoughts, unfortunately I have to run to another meeting. And if our IR team from time to time will invite me to share with you some of our news or other staff we will be very happy to participate. Thank you very much and the floor is in hands of Alexander.
Alexander Morozov: Thank you very much, Lev. Yes you’re absolutely right, we are now to Alexander and by default the floor is to Alexander.
Alexander Vedyakhin: Actually so Shlemov thank you very much for your question. About RWA optimization you mentioned. Actually in growth collaboration this is -- it was like a project internal and the whole bank is finance, is IT, we finalize technological transformation of standardized approach for RBI calculation implying automation and optimization and also as you very know and so you saw it now Russian standards, you saw RWA improvements. In Russian standards, actually we have made the same measures in international standards, in IFRS standards and receive similar results. We have improved our capital adequacy ratio by 42 basis points. So by lowering RWA density in corporate segment by 8%. So this is what so to say big project, but so to say routine project. So these figures not include IRB effect. So as we promised we will deliver also results according to the IRB implementation in IFRS that’s what we will do in this year. And so effects that we could is not changed. Tier 1 capital that’s 40 basis points and total capital of 60 basis points. So that's all from my side. I think -- and of course was also question about I think this is the same question about revision of our cost of risk guidance. And as Alexander said, and as I said, now we say this is below 1.3%. And exact guidance and details we will share with you in the end of August when we will announce our results the first half of the year results. Thank you very much. I hope I answered your questions.
Mikhail Shlemov: Thank you very much, gentlemen.
Operator: Thank you. Our next question today comes from Gabor Kemeny from Autonomous Research. Please go ahead.
Gabor Kemeny: Hi, thanks for taking my question. The first one is on margins, you mentioned negative seasonality in the first quarter. But if we look at your asset Alexander especially your corporate loan yields, the drop was quite severe. Can you talk a bit about the drivers here to what extent is it driven by competition. And how do you expect this to evolve in the next few quarters? And secondly, a question on capital. Can you remind us what's your sensitivity to the ruble-dollar exchange rate? And what has been the impact of the ruble devaluation since the end of the first quarter on your capital ratios?
Alexander Morozov: I'll start with the margin. We anticipate it as it was reflected in our guidance for the full year in our remarks in our rate forecast. We anticipated gradual reduction, but relatively fast reduction of key rates. And interest rates environment in Russia. And by realizing that we opted for a strategy to -- strategy of shared picking offering to the best customers in the market, best interest rate solutions, best pricing. And we did it in the third [ph] and the fourth quarter last year. By doing so we secured good quality. And we secured the exposure, because the worse thing which might happen that’s a deficit of good quality demand at acceptable rate. So some initial impact out of that activity is not only growth of the portfolio, but also some reduction of the margin. But within a couple of quarters, when interest rates on liability side reduce also still follow the asset side it is fully compensated. So we believe that margin will be supported as I do not expect sales contraction, sales reduction of the asset yields or at least some kind of noticeable contraction. And at the same time, I think with liability side will be quite supportive. Very important thing that we should pay attention to the change, gradual change as a mix of our portfolio in favor of ruble denominated portfolio, which is more marginal and in favor of retail loss, which are not only more secure and diversified but also more marginal. So as a result of the shift towards rubles and towards retail our asset side yield will stabilize as being slightly improved versus the first quarter, so on the balance. We believe that first quarter is quite big one, but nevertheless that’s seasonal and I do not see any signs of any worrying signals which should indicate me that we have chance to miss the target and the guidance indicated to you for this year, for the whole year. I’d like to remind that we said that around 5.5 I’d say I'm more than comfortable today with the guidance. I think that’s mixed change on the asset side, supportive liability side and resilience yields on corporate portfolio will payback. And we did not only secure good exposure and good quality, but also by acting proactively in the fourth quarter increasing our good exposure at good rates and good means. We -- to some extent secured substantial profitability and that is consistent for the full year 2017. That’s how I would address it. Your second question with regard capital adequacy ratio, I hope that my remarks were useful for you. Yes, with regard to our sensitivity so with regard to IFRS sensitivity trial one, devaluation of Russian ruble versus American dollars RUB5.10 per $1, reduced my capital adequacy ratio for equity Tier 1 by practically 0.7%. So that’s the highest impact but not a lot of factors. So risk weighted assets gross have a plus RUB100 billion means just 0.04 percentage points. So very minimal effect and increase of the interest rate of refinancing create by 1 percentage points 0.15. So foreign exchange rate you are absolutely correct, absolutely right the sector is matching around 0.7, RUB10 devaluation and you may easily calculate the effect of that as a result of devaluation happened for the last 45 days.
Anastasia Belyanina: Thank you, Alexander.
Gabor Kemeny: Okay, thank you very much.
Operator: Thank you. Our next question today comes from Andrzej Nowaczek from HSBC. Please go ahead.
Andrzej Nowaczek: Thank you. I have another question on deposit costs really, you obviously have a lot of pricing power in the deposit market then. And you know maturity schedule better than we do and lately you’ve been losing share in the retail deposit market, is your interest margin out of based on stable market shares or further erosion of market shares? And this is not too detailed question what percentage of customers who currently benefit from those promotional rates could leave when rates reset? Thank you.
Alexander Morozov: Thank you very much for your question. We should keep in mind, let’s say our market share in day-to-day activations of Russian customers and corporates is increasing and quite fast. I mentioned in my statement some numbers including active customers on the Sberbank online and which is today 35.9 million almost 36 million, Sberbank online mobile application customers and digital channel more than 58 million nearly 59 million. So what it means, it means that we have more and more balances without contractual maturities, which lower substantially our cost of my liabilities as we pay nearly zero on those balances, on card accounts, on assessment accounts and say current accounts. And the portion overall of those accounts is growing. Similar is other ones say, [ph] for small and medium enterprises, outlook is the same and our market share there is increasing, increasing quite rapidly. With regard to our market on deposits retail it has stabilized at the level above 45% and we do not expect further deterioration. At the same time some reductions in market share, which happens was used to very fears competition, pricing competition for some really big ticket private individuals and dollar denominated. So we are not ready to sacrifice our margin to save the market share. What's important for me is stable funding and day-to-day (inaudible) operations, as cost of those funds was relative much cheaper. And when some reductions in market share is driven by just a few big transaction few big private individuals no not few, but just very limited number operating tickets. So those tickets eliminate American doors frankly speaking is -- we can easily visit. But again I do not expect those reductions in market share and I do not expect what our former campaigns will continue to rise cost of my target for liabilities on retail side. I think vice versa liability side margins will be supported by accelerating growth of our mobile solutions. Sorry for that long answer, but I hope I answered your question.
Andrzej Nowaczek : Thank you very much. And maybe just quickly on Agrokor is there an update here how likely that you could release some provisions this year on next?
Alexander Morozov: On Agrokor it's a little bit too early to speak about we are in the process of negotiations with the company and targeting July 2018 to reaching terms of restructuring. At the moment we maintain full provisioning in the case, nothing to offset.
Andrzej Nowaczek : Thank you.
Operator: Thank you. Our next question comes from Alan Webborn from Societe Generale. Please go ahead, sir.
Alan Webborn: Hi, good afternoon. Thanks for the call. Could you talk a little bit to the dynamics of your retail business and how you read the competitive position there? And are you shifting in any way your focus sort of -- to from mortgages towards unsecured? Just give us an idea of how you feel the dynamics within that business are performing? And obviously you had a strong first quarter and is it really that sort of persists you to up your target for the market and yourself for the full year. And I guess maybe the second part of that would be, what the reason for sort of pushing up the corporate dynamics? I mean, is it the underlying ruble, is it related to the weaker ruble in the second quarter. But just give us an idea as to why you felt it was right at this time to pursue guidance up a little bit for the corporate side? So those are the two questions there. And then just relating to IFRS 9. Not assuming any further - any deterioration in asset quality, will the weakness of the ruble in the second quarter demand that sort of you will have to take extra provisions in stage 1, stage 2 and stage 3 wherever you've got FX exposure. Just to give us an idea of how the dynamics of IFRS 9 provisioning work in the short-term when you see a weakening of the currency that would also be helpful. And three, lastly on the insurance market. I mean, you mentioned clearly a strong position in new business on life. How do you see Sberbank’s position within the Russian market? Clearly, there are some changes happening in terms of ownership of the dynamics of the market. And what do you feel -- do you feel your position is optimal? Do you feel that you need to make more associations? Where do you feel your market position is and how you intend to grow it further in the current environment in Russia? Thank you.
Alexander Morozov: Thank you very much for your questions. I will start with that one by one. And Alexander Vedyakhin will help with regard to the IFRS 9 and additional provisioning potentially required as a result of the crash in ruble. But let's start from retail operations first topic. So we gradually increased our exposure on retail loans, retail market share. Since the beginning of the year our market share expanded by 1 percentage points from 41 to more than 42 percentage points overall market share in loans to retail. And I have mentioned in my part that we have crossed remarkable threshold of exposure RUB5 trillion, retail loan book in Russia. That's quite a lot. I would like to say that our key focus used to be and is today that’s mortgage market. And the mortgage markets we have stated for us is best to the Russian market solution don't believe that's fully automated internet solution where market share expanding because very actively. We believe that retail I think you can pick on positive dynamic on real wages still is very secure part of the market. Despite the fact what's in fact if interest rate is gradually going down nominal rates on retail side still. We should keep in mind that rates are in fact enhanced by quite high level of penetration of insurance business. When we said our loans to customers and its penetration increased up to 80% today. And there as a result our insurance business is posting for us good results. Our market share in life insurance increased to 32%. So practically 1.5% increase from the beginning of the year. I believe that we have fantastic prospectus for the development position in insurance business on the market. And so it's just the beginning it's not our ultimate target to be to stay within 32%. I see no reasons why not to increase it let's say 35-40 percentage points, as well as I see no reasons why to stay within existing 55% 56% on mortgage portfolio. Because this market still is underpenetrated. And if you look at proportion of -- if you look at penetration of mortgage versus GDP it’s still within very low level single-digital something around 10 percentage points so it’s nothing. And in front of us we believe that’s very good opportunities to further expand the business and to support marginality. Our market share on insurance 32% today on pension funds 22% as we will continue to focus on that and to grow it. I hope that’s every quarter we will deliver more and more arguments and to support. By the way if you look at the markets, on insurance market problem is increasing and in first quarter 2018 we expect the general market was something around RUB100 billion, which is more than 60% increase versus the first quarter of year 2017. So we grow our market share on the fast growing market and but we will be more and more supportive for the whole bottom-line. And that’s part of your question. When -- your second question it was related to…
Alexander Vedyakhin: Provisioning and the connection between provision changes and depreciation or appreciation of Russian rubles against U.S. dollars. Actually, yes there is -- so it’s linked it and in the first quarter for example the effect was $1.9 billion, that’s actually 4 basis points for us. And as an instant effect it’s just matter of appreciation or depreciation of provisions we have that’s absolutely normal procedure and it’s just mathematic, I can say and in the long-term it depends on exact company we are considering freight commented for example, but as you very well know, we have really good and huge I can say experience leading to this ruble, U.S. dollars changes in different base. And so it’s absolutely manageable situation.
Alan Webborn : Okay, thanks very much.
Alexander Morozov: Actually all of your question or you have something else.
Alan Webborn : The reason why you increased your guidance on the corporate side.
Alexander Morozov: Yes, thank you very much. Our market economics teams increased the overall market forecast, basically on some promising first quarter numbers and figures mentioned by me as industrial production grows by 1.9%, investment plus 3.6%. Those numbers have not result in growth from GDP, but nevertheless we see some acquisition of activities, business activities in the country and plus I believe there is more certainty now after elections. Prior to elections some products were postponed investment products sound activities were postponed, now we see that -- we expect the second half of the year will be more and more active. So that is reflected in overall change of the guidance for market economic team and plus we took into account some devaluation for Russian ruble as our forecast formulated in nominal terms in Russian rubles. And we believe that we should be and we’ll be in line with the market we have no intention to grow faster than the market. But we will be in line with the market. So we updated our forecast and we amended our business plans for business units. First of all, it relates to businesses small and medium enterprises and where we run quite substantial fees and commission income and revenues, apart from just interest income.
Alan Webborn : That’s very helpful, thank you.
Operator: Thank you. Our next question comes from Bob Kommers from UBS. Please go ahead.
Bob Kommers: Good afternoon. I have two questions, one regarding asset quality. You reported an NPL ratio of 4.2%, but you reported Stage 3 lot of 8.8%, which I think are loans with a high probability of defaults. Could you explain the difference? And my second question is regarding Yandex market, when you were talking about D&P [ph] of over RUB500 billion by 2020. What kind of gross margin are you expecting to make on the DNP and what is the trajectory in terms of profitability for Yandex market? Thank you.
Alexander Vedyakhin: Thanks very much. So let’s start with your first question. Actually this is really good question. There is for sure link between NPL and Stage 3 you have mentioned. But actually in Stage 3 we have defaulted clients, as you very well know. But sometimes default doesn’t mean NPL. For example, when we have recently made default -- default restructuring, that’s rating 26, the 26 is the worst ratings we have on our scale, rating scale and it’s already in the Stage 3. But when a client is going in according to this new schedule for this, so it means actually that clients -- this client will be in the Stage 3, but this client will not be in NPL. So -- and for sure after six months, this client will be excluded after -- from default. When this client will go in according to the schedule. But, actually this client could never ever step into the NPL. But in Stage 3 for sure, there is direct lines with who are in NPL and the delinquency over 90 days and actually when you would like to calculate what does it mean Stage 3, you can take just really easy formula, this really a rough, but still I think it could be helpful for you. This is NPL 90 plus in amount plus all ratings worse than actually 23 now scale that’s default or actually defaulter clients you have add to this. So, Stage 3 is an NPL 90 plus, plus all defaulter clients. So, I hope this answer was useful for you and actually I can say that we’re more focused actually on the Stage 2, for sure with Stage 3 we are working a lot. But we are happy that, we have really a big Stage 1 and Stage 2 is quite big for us as that. So, I hope this is really useful, and sorry for this long answer. I giving the floor to Alexander.
Alexander Morozov: Okay, thanks Alexander. So I’ll address the topic since Lev left our conference room for another meeting. I’d like to remind you that our [indiscernible] is professed to be over the next three four years RUB500 billion plus with the base flow to customers almost 0.5 million, and it’s based on the assumptions, that EBITDA margin will gradually increase to 7.2% in year 2022.
Bob Kommers: Okay, assuming a 50% profit to income ratio you are saying that you expect the margin on the G&P, your gross margin of plus 15% is that a fair?
Alexander Morozov: I do not want now to go too much in to details of those numbers because we need a little bit more time as the deal has just been completed. We need little more time to challenge all the numbers once again, as our target to become the leading player here on the market and say for the time being for us, what is important is not -- is just deposit size, just for the size of the market share. So that will be our first priority and we believe our size as a market share that’s the most important condition for the real success than chunks of money when it’s about something like e-commerce, because the leader takes it all. And I think that will be our first priority. In terms of the expected numbers, in terms of financial numbers we’ll address it in more details little bit later on, but again our priority is market share. Market share, customer loyalty, number of customers and efficient processes, it will be accretive for our business, but real effect in terms of money, in terms of the net profits, not in terms of just revenue but in terms of profits, let us say expansions and everything, will be seen little bit later. But you see what differs us from -- I’d like to rephrase it, Winston Churchill once said that the difference between politician and statesmen is a planning horizon. Politicians will think about next election and statesmen will think about at least next generation. We think about not only next year, not only results of this year, think about our ability as a Group of Sberbank to deliver to our shareholders on a sustainable basis higher economics for the year, year after year for the case. And from that perspective we are not only high. For us what’s important to build up right ground and say on the ground build separate building but that takes time, but initially focus on that. Insurance business is a great example. We launched the business maybe seven, maybe eight years ago, really quite a lot of years, and say first year it's results in terms of money was quite marginal. We started basically from scratch, insurance business we didn't have 10 years ago. Now it’s sizeable, and it’s becoming more and more sizeable, not only in terms of the market share, in terms of number of customers but also very visible now in terms of money, in terms of revenues, in terms of net asset sales return. And but it took us quite -- it took us three years. Similar things happens now with pension business, with asset management, with brokerage. We believe that e-commerce has even greater potential than annual fees business. But it also takes some time. Even if it takes [indiscernible] into one room, one month is not enough to get a baby, you need nine months. So please allow us -- give us some time, give us to return back, not only with our forecast but also with delivery. And our commitment is to build up the leading e-commerce platform in the country. And so from that perspective, topics and exact numbers as we get EBITDA margin and other things. We have some projections, but many will be corrected the amount of change and challenge number of times many, many times. We are just at the very beginning. A year from now, maybe in December maybe beginning of next year, we will have much better understanding of our ambitions much better understanding of the customers in the market in terms of potential. Because we do not want to underestimate the great potential of the business, the great potential to cross sell and upsell of huge amount of data we have. And the synergies we have between these institutions. We consider e-commerce and have of course underlined number of strategies into our presentation in London. But e-commerce in all the business of our ecosystem has the greatest potential for development and potentially the greatest impact on our medium and long term profitability. So consider this transaction just as the very beginning, as a first step of a very long journey. But I believe you support and you share with us our vision that this is the right way for us. I hope that -- and sorry again for very long answer. But I can say it's very much important to you to understand our way of thinking, how we approach it, our attitude towards that. So it's not short term, it's long term commitment. And this long term commitment is shared by all the management team of Sberbank, and say now with our JV with the Yandex management as well. Thank you.
Bob Kommers: Thank you very much.
Operator: Thank you. Our next question today comes from Can Demir from Wood & Company. Please go ahead.
Can Demir: Yes, good afternoon and thanks for very comprehensive answers. Just one question on my end. So we know that one of the recently sanctioned companies, actually the important one, the one that is under the limelight right now, is talking about defaulting on its Euro Bonds due to technicalities of dollar payment systems. I mean in the hierarchy of financing, do you stand above the Euro Bond, so that if they default on the Euro Bond, would they be in a position to pay you, or is that not the case? I'm just trying to understand if there a technicality involved, that could lead to a default even if the company is in not so bad financial standing.
Alexander Vedyakhin: So actually we can't comment on some single names. I can just repeat my answer that as of now, we don't expect any deterioration of our credit portfolio. That's all what I can say for you. Thank you.
Can Demir: All right thanks.
Operator: Thank you. Our next question today comes from Andrew Pavlov-Rusinov from Goldman Sachs. Please go ahead.
Andrew Pavlov-Rusinov: Good afternoon. Thanks a lot for the presentation and the Q&A. I just got one follow-up question on the DenizBank transaction. Basically if I understood correctly starting next quarter you will be showing the DenizBank net income just in a separate line in the P&L as a single line. So I was just wondering, if that would in any way affect your thinking about any of the components of their full year guidance. So for instance your first quarter was very strong in terms of the fee income growth and you didn’t really change your guidance. So is it partly driven by the fact that probably the DenizBank deconsolidation will impact your growth in fee income for example?
Alexander Morozov: So firstly -- first of all, yes, you’re right. We’ll show it as separate line in our profit and loss accounts, DenizBank starting for the second quarter, it’s correct. But as for revision of our guidance, simply we never change our guidance, when we present results for the first quarter. We wait until mid-year because for a number of chance, number of continue for some time trends affecting the full year guidance and so we do not want to change our guidance every quarter, to be more reliable in that. So that’s a long answer, but DenizBank will -- the consolidation will have some impact on us but nevertheless we undertake all necessary steps to minimize the potential even minor negative influence, and say as of now I see no reasons to change our full year forecast downwards, at the same time in the mid of year we may little bit reconsider our forecast, rather if we have enough ground by that time to do so. Same time I’d like to have an opportunity to say that in terms of cost fee income in terms of return on equity, in terms of even net interest margin, Sberbank Russian part of the business shows noticeably but dynamic and absolute numbers, despite the fact that DenizBank is super-efficient for Turkish market, but in terms of cost to income we post in first quarter 40.9% [ph] return on equity, we posted 16.2% return on equity last year and more than 18% first quarter this year but nevertheless even this way, it’s very good numbers by any merits. But nevertheless Sberbank Russian business is more efficient so from that perspective deconsolidation of DenizBank Bank will be accretive for our ratios not only for capital efficient ratio but also for ratios and overall profitability I think won’t suffer.
Andrew Pavlov-Rusinov: That's clear thinking.
Operator: Thank you. Our next question today comes from Fabio Notarangelo [ph] from Broker Credit Services. Please go ahead.
Unidentified Analyst: Hi, and thank you very much for the very interesting and informative presentation and congratulations for the deal and for the great results. Just a very quick question on the asset management and the visibility going forward. So given the new information and exchange [ph] has been given we should assume that in terms of management and the position of management things will stay where they are regardless of potential changes in domestic demand, and government changes et cetera or is there any trend that you can add or presume there is a little that can be added in details but if there is any color you can add on or any potential changes going forward, I think a lot of investors are looking at this very closely. Thank you very much.
Alexander Vedyakhin: This question better to be addressed by Mr. Lev, but nevertheless to the best of my knowledge, as of right now I -- now it's 15:50 so 3 -- so 10 to four o'clock exactly Moscow time, today we are 30 of May 2018 all wealth management, management team, members continue to work to their very best and align the strategy. So we -- Mr. Lev presented a strategy in December 2017 in London, gave zero chance for failure for us. So that defines the commitment of himself and defines what commitment of others Board member. So we work hard on realization of our commitments. That's all I can say. If you know something more specific please share this knowledge with me because, again as of right now I have not that information.
Unidentified Analyst : Thanks very much. Very kind.
Operator: Thank you. Our next question today comes from Maria Semikhatova from Citi. Please go ahead.
Maria Semikhatova : Yes, good evening. Thank you very much for the presentation. I have two questions. First of all on cost of retail deposits, you talked about the benefit from re-pricing of the portfolio, but do you see the room for further reduction of rates for new production or given a recovery in retail lending, we are approaching the point of intensifying competition for customer funds? And secondly on your fee outlook, I do understand that you don't want to revise guidance for full year at this point, and we need to wait for conclusion of the DenizBank transaction. But maybe you can talk about fee dynamics at Sberbank operations in Russia. We've seen actually further acceleration in CE growth in four months. So in April it was even better than in the first quarter. So do you see the rates at the Russian part as sustainable for the full year? Thank you.
Alexander Vedyakhin: I'll start with fees and commission. I think that now we are on a very good track, as regard to increase of fees and commission and those fees and commissions growth relates not only to retail but also to small and medium enterprises. And from that perspective we see huge potential to first increase it, but we are not in a position now to amend our full year forecast. We'll come back to that on a later stage during the year. But net fee income on corporate sides also increased by substantially. And so that's versus first quarter of year 2017 fees and commission related to corporate mid and -- small and medium size corporates increased by 23% or so, quarter-to-quarter in the Russian part of the business. So that's very promising. And so I believe that the portion of fees and commission in our overall revenues will continue to increase gradually, especially on the background of gradually reducing margin which is a negotiable medium term forecast. So all-in the first increases as a ratio, fees and commission is accretive to [ph] OpEx. We substantially improve that and today we have it's global roughly 65%, 66%. I see potential to further increase this coverage by fees and commission income, our OpEx to let's say 70%, 75% on a stable margin and potential further increase on the background on the margin reduction next years. So let's wait for now [ph]. I hope it is colorful. And so your first question was related to the cost of our deposits, new deposits unit check. Yes, we definitely see that potential and the reduction was a key rate of Russian Central Bank and stabilization of Russian banking system will be supportive for it, because as of now we still work in the environment where Central Bank just it keeps rates as we -- it attracts deposits from banks at a relatively high level. So, the fact absorbing excess of liquidity from the market issue was passed in as a result of submission of the banking system. So we see that on the market it's clearly a chance, but gradually alongside the stabilization of the market, I believe that’s rates payable by Russian Central bank for short-term deposits on different instruments will gradually go down. That will enable banks to reduce payable rates actually, and I see quite good potential looking forward on a time horizon, let’s say 18 months for noticeable reduction of the cost of liabilities on retail deposits. But not immediately and not adjustment of what is a gradual, inevitable churn. Also please keep in mind what I mentioned earlier. That for us specifically, let’s be very specific, we pay lot of attention to settlement business, to payment business. So types of business it occurs in business channels, so which card business, which give us a very good and stable current accounts, bank accounts, that accounts our professional maturities balances and that’s lower substantially over the cost of payable related other businesses. These is the trend and trends will be continued.
Maria Semikhatova : Thank you, this is clear.
Operator: Thank you. As we have no further English questions, we will now move over and take any Russian questions available. Ladies and gentlemen, we are continuing the Q&A in Russian. [Operator Instructions]. There are no questions and there being no questions, I’d like to give the floor back to our speakers for their concluding remarks.
Alexander Morozov: Thank you very much. This is the Russian line. We hope that we were informative and helpful in our answers, looking forward bringing more value to you our shareholders and stakeholders and we are always looking forward to your questions. Thank you colleagues, thank you all for attending the call. Looking forward to your questions offline, if you have any, do send them to our IR team. We will able to answer them as quickly as possible and as conveniently as possible. Colleagues, thanks from me. I would like to join my colleagues in thanking you. And again we are also prepared to thank you in any format that you might feel fit.
Operator: Ladies and gentlemen, this concludes this conference call. Thank you for participating, you can hang up now.